Operator: Good morning, everyone, and welcome to the CMS Energy 2011 Third Quarter Results and Outlook Conference Call. This call is being recorded. Just a reminder, there will be a rebroadcast of this conference call today beginning at noon Eastern Time running through November 3rd. This presentation is also being webcast, and is available on CMS Energy’s website in the Investor Relations section. At this time, I would like to turn the call over to Ms. Laura Mountcastle, Vice President and Treasurer. Please go ahead.
Laura Mountcastle: Thank you. Good morning and thank you for joining us today. With me are John Russell, President and Chief Executive Officer; and Tom Webb, Executive Vice President and Chief Financial Officer. Our earnings press release issued earlier today and the presentation used in this webcast are available on our website. This presentation contains forward-looking statements. These statements are subject to risks and uncertainties and should be read in conjunction with our Form 10-Ks and 10-Qs. The forward-looking statements and information and risk factors section discuss important factors that could cause results to differ materially from those anticipated in such statements. This presentation also includes non-GAAP measures. A reconciliation of each of these measures to the most directly comparable GAAP measure is included in the appendix and posted in the investor section of our website. Reported earnings could vary because of several factors, such as legacy issues associated with prior asset sales. Because of those uncertainties, the company isn’t providing reported earnings guidance. Now, I’ll turn the call over to John.
John Russell: Thanks, Laura, and good morning, everyone. Thank you for joining us today in our third quarter earnings call. I’ll start the presentation with a few brief comments about the quarter before I turn the call over to Tom for a more detailed discussion on the financial results and the outlook for the remainder of the year. Then as we usually do we’ll close with Q&A. Third quarter 2011 adjusted earnings were $0.53 per share, up $0.01 from last year. The utility performed well during the quarter despite higher storm restoration cost and accelerated reliability spending. The impact of the hot summer – hot summer weather was largely offset by sales decoupling mechanism. Year-to-date results keep us on track to achieve our adjusted earnings per share guidance of $1.44 a share. Now let me give an update on the regulatory calendar, recent operating milestones, and our plans for environmental compliance. Many of you are familiar with the Michigan Energy Law that was passed with broad bipartisan support in 2008. The specific element of the law listed on this slide provide the foundation for us to invest more than $6.5 billion over the next five years. Our investments will improve the safety and reliability of our system, further improve the environment, and provide value to our customers. We’re able to make these investments and at the same time keep our customer base rate increases to a level at or below the rate of inflation. For those of you who do not follow us closely, I want to mention that we have a new Commissioner and Chairman of the Public Service Commission. John Quackenbush was appointed September 15th replacing Monica Martinez whose term ended in July. We look forward to continuing our relationship with the staff and the commission, seeking fair and timely recovery of investments as we strive to improve service to our customers and help support the economic recovery in Michigan. After our third round of rate cases, it’s clear that the 2008 energy law is working smoothly and efficiently as designed. Our rate cases have become streamlined and primarily driven by capital investments on our system and in our plans. At the same time customers are benefiting from cost reduction actions that have resulted in lower O&M charges, a nice situation for both our customers and our company. In addition to the O&M reductions, customers will also see a lower renewable energy surcharge and a refund related to the settlement agreement with the DOE as we discussed last quarter. These two offsets will reduce customer charges by $80 million. Switching to the operational update, we reached a milestone – another milestone related to the implementation of our smart metering system. In September, we signed a contract with SmartSynch to provide the advanced metering system for our electric customers. The SmartSynch system will utilize existing cellular networks for communications avoiding the cost of building a private mesh network. Meter installation is schedule to begin in August of 2012 and continue through 2019. We received the final land use permit for our 100 megawatt Lake Winds Energy Park. Construction is expected to begin in the next few weeks for an in service date by the end of next year. After this project is completed we expect to have 8% of our energy supplied by renewable energy sources and on our way to the 10% requirement by 2015. When we acquired the 935 megawatt Zeeland gas fired power plant in 2007, the plant was being dispatched less than 6% of the time, and has increased significantly in the four years since we took over operations. The capacity factor is now up to 19% for the first nine months of the year. The plant plays an important role in meeting MACT emission reduction targets and fits nicely with our balanced energy initiative. Our Campbell 2 coal plant completed a record 389-day continuous run before it was removed from service for a scheduled outage, a remarkable run for a plant that is over 40 years old and a real compliment to our employees and their operational excellence. Clean air standard is a primary topic of interest these days. We have a long history of protecting the environment in Michigan. Years ago we started converting our coal plants to burn low sulfur western coal reducing SO2 emissions by more than 70% and saving our customers over $2.5 billion in fuel costs. Over 85% of our coal consumption is currently western coal moving to 100% in 2012. Cash for mandates further emission reductions by January of 2012. Our balanced portfolio of generating the assets will allow us to shift generation from our coal plants to our over 1,800 megawatts of gas combined cycle generation. Additionally, we are planning to switch all of our coal plants to primarily burning western coal. This will further reduce emissions and the customer costs. The final MACT rule is expected by yearend. We already have a state mercury standard that requires a 90% reduction by 2015 comparable to the proposed federal rule. As a result, we have a head start on implementing these regulations. The bottom line, we are well positioned to comply with these new laws with the plans we have in place. Now, let me turn the call over to Tom to discuss the results for the quarter.
Thomas Webb: Thanks, John, and let me add my welcome to everyone on the call, especially during the busy earnings release week. We appreciate your joining us today. Adjusted earnings for the third quarter were $0.53 a share, up $0.01 from last year and a couple of pennies from First Call. For the first nine months of the year, we earned a $1.30, up $0.14 or 12% from last year and this keeps us solidly on plan. As we mentioned in our last earnings call storms were particularly severe in July. This year our storm restoration cost has been the most severe by far in over a decade. Even so we still had different – we had sufficient room to continue stronger than originally planned spending to further improve customer reliability. As most of you know, we take every opportunity we can to increase spending to improve performance for our customers. We’re able to do this without deviating from our plans to produce targeted earnings and cash flow growth. We know some of you would prefer that we take opportunities to increase our earnings beyond targets. We are however committed to applying extra resource to help our customers without jeopardizing meeting our financial targets. We haven’t missed our targets for nine years. We also improved results at the parent by $0.03 a share and that’s primarily from reducing financing cost in this low interest rate environment. For the first nine months results at $1.30 a share are up 12% from last year. These results for both in quarter and the first nine months are 10 year record highs. During the first nine months sales were up $0.14, driven by improving economy and weather. The weather improvement was in the gas business where weather changes are not addressed in the decoupling mechanism. The cost of extraordinary storms coupled with good efficiencies where within approved rates. Now looking ahead to the fourth quarter we expect to earn $0.14 a share primarily from approved rates, partially offset by additional spending to improve customer reliability. This is below last year because of the higher reliability spending and the impact of weather on our gas business. So let’s talk a little bit more about sales and customer rates. Our industrial sales are back to pre-recession level and at the present pace of recovery overall sales should be back in 2012. Last year’s sales were up about 2%, we anticipate growth of about 1.5% this year, I know that’s a little softer than we previously thought. It includes a strong industrial recovery of 3.5% on top of growth last year of about 10%. It also includes residential growth of 1.8% and flat commercial sales that we expect will catch up later. Looking ahead to next year our experts see growth at well over 2%, but you know us, we like to be a little bit conservative so we are predicting closer to 2%. Candidly, many of our industrial customers are concerned about the political turmoil in the U.S. and Europe. Their production levels are strong, but they still worry about financial complications and could emerge from the political wills and battles that are going on, uncertainty about fiscal and monetary policy here in and in European Union. Our sense is that many residential customers want to upgrade their automobiles, their homes and their lives, but uncertainties continue to dampen consumer confidence. You can see in October we were at the low levels of the recession. For example, used car prices are high and supplies are low and that’s a strong sign that new car sales should continue to grow. Accordingly, the U.S. automotive production is scheduled to be up about 30% in the fourth quarter. Customers want and need in many instances to replace their old cars and trucks. The seeds of recovery exist; it’s sort of our national recovery to lose. So in our service territory we’re seeing a good recovery but we too are planning conservatively in case political disagreements dampen future conference. Looking to our in-process rate cases, there are two major themes we continue to follow. First, the bulk of our requests involve investments, investment for projects that are needed rather than those that we would just like to do. Second, to help keep rates down, we target to keep our O&M flat to down, we’ve requested reductions in both our gas and electric filings. As John mentioned just a minute ago, we also identify ways to reduce the impact of increases in prices to our customers. For example, the offsets reduce the impact of our requested electric rate case by $80 million holding the customer increase to 1.6%. And on the gas side, lower fuel cost will more than offset the gas rate request of 2.2%. Now with this next chart, you can see our passion around maintaining responsible customer base rate increases at or below the level of inflation. We could be investing almost $10 billion over the next five years, but we self imposed a limit to about $6.5 billion for the 2012 to 2016 period. More investment would increase earnings and cash flow that at a higher level of rate increases that we do not believe would be sustainable. This unwritten pact with our customers is important to us and we believe core to our successful plan to grow earnings and cash flow in a sustainable manner. Now talking about cash flow, here is our standard summary of cash flow for consumers and the CMS parent. The small level of tax sharing reflects the large level of bonus depreciation at consumers. In total, we continue on plan with key financings complete. With equity markets and discount rates down, I suspect you are hearing from others about the cost of pension and healthcare obligations. Recall, we prefunded 2011 pension contributions in 2010 as bonus depreciation benefits provided some headroom. We fully complied with the funding requirements in the Pension Protection Act, as determined by the act, we are 80% funded. We may do some more prefunding, but that decision is yet ahead for us. As you know, we seek to prefund our parent debt one or two years in advance. We do that in our belt and suspenders approach to minimize exposures to our non-utility debt maturities. In addition, we carry a thick level of liquidity at 40% of market cap. That’s larger than most of our peers, which is closer to 20%. This provides a further buffer to debt maturities and provides for strong risk mitigation in these interesting financial markets. Some may think of this as a belt suspenders and a sky hook level of conservatism, but it’s an approach that has served us well. Here is our standard profit and cash flow sensitivity chart. You can use it for this year and also for 2012. It reflects risks mitigation measures already in place. Now please note the ROE sensitivity. The Commission recently reset to trade additions authorized ROE at 10.5%. We’ve shown here a 20 basis point drop in our authorized level, both at electric and gas, to help you assess alternatives. We’re comfortable with our ability to manage the level of change shown here. We’ve designed our plans to accommodate this, if required. Tools include managing our level of utility – equity, capital spending, incentives not included in the authorized ROE calculation like our energy incentive performance, and modest earnings growth outside of the utility. I hope you find that our earnings and dividend track record speaks for itself. We continue to be comfortable with our 2011 earnings guidance at a $1.44 a share, and we have an opportunity to grow our dividend further. We are on track to deliver on all of our financial targets as shown here. We feel good about our prospects for next year. John and I look forward to seeing many of you at the upcoming EEI conference where we’ll present on Tuesday, November 8th at 8:15 AM. And on February 29th, we’re planning an investor meeting at the New York Stock Exchange to celebrate our 125th anniversary as well as our 65th year of being listed on the Exchange. We look forward to seeing many of you at these events. We’d be pleased to answer questions that you have now. So, Jeff, would you please open the line for questions.
Operator: Thank you very much Mr. Webb. (Operator Instructions) Our first question comes from the line of Kevin Cole of Credit Suisse. Please proceed.
Kevin Cole – Credit Suisse: Hi. Good morning, guys. Thanks for taking my call.
Thomas Webb: Good morning.
John Russell: Hi, Kevin.
Kevin Cole – Credit Suisse: Hey thanks for slide 16, can you actually go after it and readdress the three levers that you stated you offset any ROE degradation?
John Russell: We are happy to do that. Again, let’s put in perspective. You see our authorized levels of return at electric at 10.7 and gas at 10.5. And what we did is we provide you with a little sensitivity for 20 basis points, which is maybe consistent with what you’re seeing in other rate orders. Things that we could do, we have a chance to manage the level of equity that we have in the utility, there is always a little room to pull little bit more in there, we also have a chance to do it little bit better on our ROE performance. The incentives that we get there are actually calculated outside on top of the authorized ROE, and we plan conservatively on that. We don’t put all of those sort of savings into our initial plans. We work our way there. There is also the chance, of course, that we can adjust our capital spending a little bit – just tune that down a little bit, deferred a little bit, do the sort of controls we have been talking to you about for some time, and that can have an impact. And then lastly, we don’t have lot of business outside of the utility, we’re the core in the ability; but we do have a little bit in our enterprise organization as an example. And we can always tune that up a little bit. We’re looking through ways – these have been soft markets, as you would imagine for ITPs. So as we begin to see that turn, that may contribute a little bit to our earnings as well. So, we see adequate flexibility and actions that we can take to do our job, earn the authorized ROE, even if it might be a little bit lower than where it is today.
Kevin Cole – Credit Suisse: Okay. I guess annual mark-to-market of the ROE makes sense. Anymore would you look forward to maybe trying to extend that rate cases – given their larger capital focus versus rate mechanism focus?
John Russell: You know, Kevin, that’s a classical answer I have to admit where it’s enticing to say that if you think the trend of ROEs is down, you want to go into a rate freeze and stay out, but it’s not where we are. As long as we have our large capital investment program going we are very happy to bring that forward each year to make sure we recover in a timely basis, the investments that we’re making and recall we are working very hard to try to go into every rate case with O&M flat to down a little bit, so we’re actually giving something back if we can bring it down to our customers and that’s our intend. The other nice thing we’ll get to recognize the portion maybe of decoupling if that changes around the economy. So that with our annual rate cases, we’re still held neutral, we get to pickup our sales and even though we’re all a little nervous about where things are going, you can see the track record on sales it’s certainly an upside, if that’s something that’s not decoupled as we go into the future. So for us it’s an annual case. There could be conditions changing in the future, nothing that we know of formally or officially, but if we are ever to track investment for example I would admit there would be little reason for us to go in for annual rate cases, but at this point in the game that’s our plan.
Kevin Cole – Credit Suisse: Okay, thank you. And so I guess this sounds like you are very confident in your 5% to 7% EPS growth and is this confidence shared by the board as well and recent I guess ROE question?
Thomas Webb: I’ll let the CEO and then one of our board members answer that.
John Russell: Yeah, we’re not changing our focus, the 10.5% is that DTE received, or Detroit Edison, it’s just slightly below what we have in the electric business. So – no our guidance is still the same for this year and we expect to grow as we told you in the past.
Kevin Cole – Credit Suisse: Okay. You are still looking to revisit the payout ratio.
John Russell: Revisit what?
Kevin Cole – Credit Suisse: The payout ratio.
John Russell: Yeah, yeah, we’ll be talking about that. I mean we expect it to grow with our earnings, but we’re also going to address that with the Board in the upcoming meeting in January.
Kevin Cole – Credit Suisse: Great thank you guys.
John Russell: Thank you.
Operator: Our next question comes from the line of Greg Gordon with ISI Group. Please proceed.
Greg Gordon – ISI Group: Thanks, good morning.
John Russell: Good morning Greg.
Thomas Webb: Good morning Greg.
Greg Gordon – ISI Group: So my first question was just answered. So you will talk to the board about dividend policy again in January?
John Russell: Yeah, that’s usually the time that we do it and as we said before we expect the dividend to grow in line with our earnings growth, but we will address it because we do know we are slightly below the average of our peers.
Greg Gordon – ISI Group: Great. I guess my second question goes to, just connecting the dots on the couple of slides, you talk about on slide seven because of the MACT rule the potential for having to scrub and then on slide 13 you talk about the sort of $6.6 billion of planned CapEx could be a size 10 and none of those four bullet points on things that you are spending is environmental remediation. So is that in fact one of the things that’s in that $6.6 billion plan or is that an unfortunate upside that may be foisted on you?
John Russell: I like your characterization Greg, let me just make sure everyone is clear on slide 13 because it might not be clear. What we tried to show are some of the things that are not in our $6.6 billion that are in this, I will call it, theoretical $10 billion because it’s not our plan. We have all the pipeline replacements and all the upgrades that we need to do to meet the laws. But we’d like to accelerate that sum and folks would like to help us do that. We like to do more pole replacements, just to stay ahead of the game, to help our customers. We may need new gas generation as we go through time and we certainly would like to do our smart grid faster but these are all things that are – they are things that we want and they are not things that our customers absolutely need right now. So something like a change in the WASP or environmental, those would be things that we would need to do. All those cost that we just described for the five year period are included in our plan. So they are in the $6.6 billion already. I’d mentioned when we’ve been out on the road with folks, the timing is a little bit different because with the new rulings that came out we had to adjust forward about $100 million of timing in this period, but in the period in total we were fine. So I would tell you that our goal is when something is foisted upon us if we can we’ll look for a way to rebalance the portfolio to keep the sorts of investments we need to do over the next five years at a level that keep the level of our customer rate increases down to a sustainable level. Now $6.6 billion is not an absolute number, that’s the other thing I think everyone should know. If that number were $6.8 billion or $6.4 billion or anything like that, it’s just not that big a deal, but being in that general range we think is important for sustainability.
Greg Gordon – ISI Group: That’s perfectly clear. Thank you.
Operator: Our next question comes from the line of Brian Russo with Ladenburg Thalmann. Please proceed.
Brian Russo – Ladenburg Thalmann: Hi, good morning.
John Russell: Good morning.
Brian Russo – Ladenburg Thalmann: Could you just elaborate a little bit on your enterprise segment comments? It seems like that segment has been on kind of like $0.08 EPS kind of run rate. You mentioned that there could be a little bit of upside just curious if you could provide more detail on that?
Thomas Webb: Yep. The numbers are small and in total if you think of enterprises and the small bank we have I think the numbers you are referring to are probably about right. But in part the numbers are small because we haven’t put a priority there. We haven’t invested money there. We’ve put all of our investment against the utility where we think it’s inappropriate and as our strategy to do so. However, I would also tell you anyone following the markets knows for IPPs that this is not a good time. Prices are down. Capacity factors are down. So it’s hard to make a lot of money in that end the business. So as the market turns around, there is an opportunity for that contribution to us to naturally enhance a little bit as we go through time. But I would caution everyone, it’s small piece of our business, it’s not where we’re focused on the core, but it’s a piece outside that may provide us a little extra earnings growth outside of the authorized ROE.
Brian Russo – Ladenburg Thalmann: Is there any ongoing evaluation of the enterprise segment and the potential sale of that business and maybe utilizing the proceeds to pay down some of apparent debt?
John Russell: We are always looking at all of our business in terms of what’s the right mix of the portfolio. I am always hesitant to say that we might do this or we might do that because then somebody out there thinks it’s a plan. So if you would take that context, I would tell you we do keep an eye on the market value of the little bank that we have and the market value of the enterprise organization, and the market value of some of things in the utility, and we keep our eye on that to determine; are we optimizing for owners the right benefits? Are we earning the right kind of returns and the right kind of profitability that’s better than what we could do alternatively? And it’s why number one we have most of our investment all focused into the utility at those good ROE levels; and number two, we are always looking at options. But I will tell you; we’re very proud of the enterprise team and that little bank team with the work they’re doing, keeping their risk down, and their returns up, and providing a small but important contribution to the company.
Brian Russo – Ladenburg Thalmann: All right. And then lastly, just the potential pension contribution that you kind of earmarked on slide 14 that should we be aware of any earnings impact in relation to the possible funding scenarios in 2012?
John Russell: Yeah, that’s a good question. Let’s take it in two pieces. First of all, on the funding side, we treated like our debt – we try on the parent debt side to stay ahead about a year or two in terms of the requirements. Although the pension is much in the utility – more in utility than it is outside, we also look at that as an obligation that we have, so we look to stay ahead of the game on that. And you remember last year we funded early, and when you do that it improves your position in terms of being funded, but it also gives you a little bit of an earnings upside, to be candid. We’ll be looking at that opportunity more towards the end of this year when we see how returns and discount rates are playing out. Let me we shift gears to a second related but different piece, and that is; I’m sure you’re hearing from folks that with discount rates falling and interest rates falling as low as they are, that puts pressure on the size of the pension and OPEB liabilities, so therefore it’s a hurt. And it’s a hurt to us. There will be several pennies of penalty when that number is known at the end of the year and we don’t know it because it’s not determined until you have actual. But that cost us some earnings power. We built all that into our plans looking ahead and we feel very comfortable with what John said about the 5% to 7% growth as we go forward in time, even with those precious. But, yes, those pressures are there. I know the other side of the point that I would just mention is recall that when discount rates fall, because interest rates fall, that cost companies a little bit more because of the then higher present value of their liabilities. So it hurts their earnings. But when those turnaround come back up, it’s going to help their earnings. So our view has always been, manage it. If you got bad news, figure out how to address it and continue to meet your guidance for growth and if you got good news invest that, help your customers out if you can, if you have some surplus to do that, is that helpful.
Brian Russo – Ladenburg Thalmann: Yes it does. Thank you very much.
John Russell: Thank you.
Operator: Our next question comes from the line of Paul Ridzon with KeyBanc. Please proceed.
Paul Ridzon – KeyBanc: Good morning.
John Russell: Good morning.
Paul Ridzon – KeyBanc: Your ROA sales fell significant, I assume that means that people are coming back to you and kind of what’s the implications of that?
Thomas Webb: No, I think what you need to see there is when you are looking at those sales, those are their sales. They are customers that are out of our bundled service, but we are showing you because we still deliver power to them. We may not be the source of it, but we still deliver it. So we show you how they are doing up or down and what you saw was for those customers that are out there, they are sales fell off a little bit. Customers in bundled service on the other side were up a little bit, you saw that too. We are still at the 10% level, so you should not think that we’ve come below the cap.
Paul Ridzon – KeyBanc: Okay, so the dropping of theirs and pick up on your industrials aren’t the same customers?
Thomas Webb: Different customers.
John Russell: That’s correct.
Paul Ridzon – KeyBanc: Looks like you picked better customers.
Thomas Webb: Not fair, let me tell you, we love all our customers whether they are in bundled service or not, we are trying to help them all.
Paul Ridzon – KeyBanc: Okay. Thanks for clearing it up.
Operator: Our next question comes from the line of Steve Fleishman with Bank of America Merrill Lynch. Please proceed.
Steve Fleishman – Bank of America/Merrill Lynch: Yeah. Hi good morning.
John Russell: Good morning.
Steve Fleishman – Bank of America/Merrill Lynch: Just a quick question really relevant to your position versus the recent DTE order. My recollection in the past was that DTE had typically been allowed a higher ROE, and they used to say partially because they served Detroit was one of the specific regions and has kind of the higher risk factor. And I don’t believe that that was included in this last order so it is kind of historic differential between your allowed ROEs and DTEs, was that in your mind a main reason it was different and thus how do you think about whether there should be a differential there going forward?
John Russell: Yeah, Steve, I mean you summed it up well I think in the past. The issue with this order and we’re going to let DTE talk about the order, that’s not our business that’s theirs. But we look at the orders to see if there is some consistent application between the two companies and the one thing that came out in this commission which is – keep in mind a new Chairman in this commission looked at it and the language is pretty clear. They talked about the 10.5 being justified as a change based on the improvement of the capital markets, the economy and the Michigan Energy Law. So it looks like what they’re doing is building this from the bottom up to achieve the 10.5 rather than the top down. And I think that’s important for us because I don’t – at least I don’t sense much change in that justification and rationale from last week through our order in June. I just don’t see dramatic changes in those factors between now and then.
Steve Fleishman – Bank of America/Merrill Lynch: Okay. And there was nothing that indicates kind of a differential though between that specific company relative to that, more generally Michigan, okay?
John Russell: Yeah because Steve the last one you’re right. They did – they designated a difference in areas. This was strictly about the capital markets, the economy and the Michigan Energy Law. And we have the same economy, we have the same capital markets and we have the same Michigan Energy Law.
Steve Fleishman – Bank of America/Merrill Lynch: Okay. And then from a – how about from a balance sheet standpoint, the two companies are the roughly similar?
Thomas Webb: Well, if I can answer that, I would just tell you, the utilities are similar, but you need to focus at the parent structure and we still do carry a little bit of a more difficult credit rating than they do. So that’s a downside for us. But do keep in mind the liquidity information we talked about, we kind of have that built into our earnings from the bigger picture because we actually carry more liquidity than most companies and we pre-fund our debt. That cost us a little money to do and so that probably is built into our numbers.
Steve Fleishman – Bank of America/Merrill Lynch: Okay. Thank you very much.
John Russell: Thank you, Steve.
Operator: Our next question comes from the line of Jonathan Arnold with Deutsche Bank. Please proceed.
Jonathan Arnold – Deutsche Bank: Hi Good morning, guys.
John Russell: Hi, Jonathan.
Jonathan Arnold – Deutsche Bank: Could I just start? You talked about having your experts so growth well over 2% next year, but that you have been conservative in going with 2% sales growth. Can you give us any granularity in terms of segments, where are that 2% is coming from?
John Russell: Yeah, I can. I think that’s a good question for 2012. Our experts do some very good modeling. And based on the information they have, they have a number – and I’ll be candid with everybody that’s closer to three than it is to two for the overall. But they see the residential, which has improved nicely this year, flattening out a little bit for next year, they see commercial coming back a little bit, because remember, that’s been flat to down. That’s sort of the last segment to follow. And those folks actually see the industrial side continuing to pick up and in their numbers closer to 7%, maybe 8%, because they see certain segments that usually trial in that recovery. Now we’re cautionary about the whole thing. And I know some people think we’re just too – on conservative. But things are pretty uncertain right now in consumer confidence, and what I tried to explain, with industrial confidence. So even though companies – and many companies are doing pretty well, and some are even expanding, they are all a little bit nervous. So we rather be a little cautious and share with you our judgment that we should be looking for something closer to 2% overall next year and if we are wrong and it’s better, wonderful.
Jonathan Arnold – Deutsche Bank: And Tom when you say your experts, this is your internal forecasters or...
Thomas Webb: It is – it’s our own team and what we do is we contract with people who provide us data on economic growth, specific to each county in Michigan. So we have a chance to get a lot of information that’s very useful to us and then our experts do a good job whether they tell us what we want to hear which is good news or they tell us what we don’t like to hear, which is bad news and then we take that and typically what we do is try to be a little conservative particularly if they see growth bigger than like we were seeing this year. So it’s our internal experts using a lot outside information.
Jonathan Arnold – Deutsche Bank: And your 2% does that include any sort of particular estimates for residential?
Thomas Webb: No, I’ll be fair there. We did an overall dampening rather than just trying to say any one particular segment. I would tell you based on everything we know same residential would be flat assuming there is not a severe double dip, okay, that’s an assumption I’m making. We would be flat, that’s a fair, I think assuming that commercial is going to come up a little bit, I think that’s reasonable but not a lot. And I do think that the industrial side, there is still more room for year-over-year growth. So we will see that, but I’d say it’s in that segment we’re trying to be a little more conservative than what the experts tell us. We’re just trying to be very open with you. We are not – we don’t want everyone to think that we are trying to suggest something a lot higher or worse; we’re just trying to take exactly what we are thinking.
Jonathan Arnold – Deutsche Bank: Okay. Thanks a lot.
Operator: Our next question comes from a line of Paul Patterson with Glenrock Associates. Please proceed.
Paul Patterson – Glenrock Associates: All right. Just to follow up on that, what kind of GDP growth is the 3% based off of? I mean do you have economically sensitive, it sounds like a lot of this is industrial?
John Russell: It is and I’ll give you a number just, yeah, it’s about in that higher number for overall in the State of Michigan about 1.5% GDP growth, is what’s in there and so therefore you can believe that we are implicitly sort of dampening that a little bit.
Paul Patterson – Glenrock Associates: Okay. So the 1.5%, if it was that high, it would lead to that higher number and you guys are being a bit conservative with respect to that, is that correct?
Thomas Webb: We are. That’s right. And remember what we’ve given you is sort of the Michigan number GDP, but what we give you in terms of our projections on sales are service territories, so the little disconnect there but...
Paul Patterson – Glenrock Associates: Okay. And then just from a national perspective is there – I mean I would assume that a lot of the sensitivity with the national economy or am I wrong I mean in terms of obviously that kind of a sales growth number and so much being industrially oriented. I’m just wondering is there a national number that influences this or how should we think of that?
John Russell: Yeah, the national number hits some of our customers or companies from a standpoint it can drive automobile sales, it can drive furniture sales, it can drive those sorts of things, which comes back and hits us in our service territory. So the way I’d characterize this, this is helpful is that we have not projected even in our conservative numbers a big double dip for the nation or for the state, but we’re worried and that’s why we are being cautionary because consumer confidence has come down in the last couple of months, and when we talk to our industrial customers, John and I and coal management team partners up and talks to two or three of those customers on a regular basis. They may be doing well, their production may be full out right now, with schedules that are full out for the rest of this year, but they still worry what’s going to come out of Europe, what’s going to happen in our election process. And so it makes them nervous and in a nervous environment that’s hard to make solid predictions. What I can tell you is that the decoupling mechanism certainly give us some insulation in the State of Michigan which is a helpful thing and on top of that we just plan conservatively so that when bad things happen we are able to deal with them, if they do.
Paul Patterson – Glenrock Associates: Okay, great. Thanks a lot.
Thomas Webb: Thank you.
Operator: Our next question comes from the line of Ali Agha with SunTrust. Please proceed.
Ali Agha – SunTrust: Hi, good morning.
John Russell: Good morning Ali.
Ali Agha – SunTrust: I wanted to come back on the ROE side question again. Given as you pointed out some sensitivity in the State on that, can you just remind us when you budget out the CapEx that’s built into your rate case, what’s the implied ROEs – comes out because as you point out in your own presentation here your ROE is currently on an LTM basis are above your current authorized levels. So what does it sort of equate to when we look at the forward CapEx et cetera that’s build into the rate base?
John Russell: Yeah, as far as going forward for electric we are looking at about 10.5 and for gas 10.3 and when you think about the financials where we are today as we work through the year we’ll be – we expect to be very closer at our authorized return on equity on a weather adjusted basis.
Ali Agha – SunTrust: Okay.
John Russell: So a snapshot sometimes doesn’t really do it because between the sales, the spend, the timing of the spend, and the equity infusion occurs it does on a rolling basis have an effect on that.
Ali Agha – SunTrust: Okay, okay. And then on the legislative front or even on the regulatory front John, in the past there have been rumblings about expanding that retail open access cap beyond 10%, nothing really has happened but can you just give us an update on where things stand and are there any bills being contemplated or what are you hearing more?
John Russell: Yeah, there – Senator Knaves who runs the Senate Energy Committee is conducting some hearings on the entire base of the standard. It’s been a few years since it went into place. Most of you hear about is the noise on the retail open access cap. I’ll tell you next week I am presenting along with the Michigan Chamber, the Detroit Chamber of Commerce, the Michigan Manufacturers Association, DTE is going to be there also, all testifying in support of where we are today and so we’re going to make a point to the Senate about how important this law is to Michigan, the jobs that’s created, the investments it’s created and we’ve got some unique positions that we’re going to talk about because keep in mind, this is a second energy law that occurred in Michigan, the first one is back in 2000 when a lot of expectations were set and very little came out of it. So that’s why the 2008 law was put into place. So that’s where we have today. I think it’s being pushed opening the cap by some customers and also because we are at the 10% cap, but also from the standpoint of some outstate suppliers that would like to get into Michigan and do some work. And my focus would be and you’ll hear it next week at the Senate hearings, we are the second largest investor in the State of Michigan and we are the seventh largest employer. We want Michigan to be successful. We are here for the long run. Our rates over a long period of time are consistently competitive with the recession that we’ve had over the past couple of years, despite Tom seeing the recovery, we’re still coming out of the recession and with the natural gas prices some of the coal fleet is not as competitive in our contracts as it used to be. But that will begin to change in the future as we see the sales come back and as we see natural gas prices increase, but not a lot and as we see the impact of the environmental rules on the fleet throughout the Midwest.
Ali Agha – SunTrust: Okay. And on the ground John I mean. Are you getting any sense that there may be any additional support for increasing that cap, the legislature?
John Russell: No. This is the same group that’s been talking about it. It’s a handful of people, Ali. It’s not a group. I mean I think we’ve shared this with you. There are 300 customers taking choice today that reach the 10% level of our 1.8 million customers and those customers that take choice have shifted cost to other customers to the level of $180 million, that’s pretty expensive and if you want to raise the cap more will be shifted to other customers. That’s why groups like the Michigan Manufacturers Association and the Michigan Chamber of Commerce don’t want to see the cap raised because they don’t want to see their customers take the impact of the shift for the very small number of 300 customers that are taking choice.
Ali Agha – SunTrust: And last question as you talked about in January you’ll look at the dividend payout like you do annually. Give us a sense I mean from your perspective when you benchmark against your peer group as you guys look at it, what kind of payout ratios are you seeing as kind of a benchmark average that you referred to earlier?
John Russell: Well, I guess it’s not what we are seeing, it’s what you see. But our peer group is generally around 62% payout ratio. And as you know from our numbers, we are slightly below that. So that tends to be where we are as far as where the peer groups are. So we’ll have a discussion about that with the board, but again keep in mind we made a significant increase in our dividend in August of last year. So we accelerated the dividend and increased it faster than what people expected. We’ll look at it again in January knowing full well that our peers are at about 62% payout ratio.
Ali Agha – SunTrust: Understood. Thank you.
John Russell: Thank you.
Operator: Our next question comes from the line of Carl Seligson with Utility Financial Experts. Please proceed.
Carl Seligson – Utility Financial Experts: Good morning.
John Russell: Good morning.
Carl Seligson – Utility Financial Experts: Tell us as to what you are doing in the area of energy efficiency? Are you promoting it in any way, you’re giving away free bulbs or what – what are you doing and what kind of results do you think you are seeing as a result in reduced sales?
John Russell: Yeah, we’re doing it in a big way, we got to reduce – we have a target in the law to reduce our electric sales by about 5% over a five year period and about 3% in the natural gas business. We are not giving away light bulbs, but we are offering discount on light bulbs, which is a very small impact for the whole thing. I believe personally the company believes and I think the state did with the passage of the law, the cheapest form of energy is energy efficiency. We think we can be at about the $0.02 a kilowatt hour range for energy efficiency for incentives that we provide, that’s about the impact of energy efficiency cost. We’ve been in the program for two years now. Our customers have saved $67 million. So the payback for what we spend to incent compared to what they save is about a two year payback. In some areas it’s very effective less than a year, and in others particularly low income it takes a much longer time to make up that difference. So we are supportive of it, I think it’s good. On the benefit to the shareholders we also were incented with the current law to be able to if we hit targets, exceed targets by over 100% we are able to get a premium return for the money that we spend. So – and we’ve achieved those past two years and expect to achieve all or most of those going forward.
Carl Seligson – Utility Financial Experts: And lost sales are treated in what way?
John Russell: Lost sales are treated with decoupling, so there is a decoupling mechanism which on the electric decouples everything for the weather the economy as well as the energy efficiency, but you tried Edison case that just recently came out, they focus primarily on the energy efficiency with a band of about a 1.5% a year.
Carl Seligson – Utility Financial Experts: Thank you.
John Russell: You’re welcome.
Operator: (Operator Instructions). Up next we have Ted Heyn Catapult Partners Capital. Please proceed.
Ted Heyn – Catapult Partners: Good morning.
John Russell: Good morning.
Ted Heyn – Catapult Partners: I have a quick question regarding your comments on the environmental rules. I think you mentioned that you currently burn 85% Western coal and you’re looking to move to a 100% in 2012. I wanted to get a sense of, is that – are you thinking about increasing your consumption of Western coal or is that a function of running your gas plants more than you are coal plants, or just a little more flavor around?
Thomas Webb: It’s the latter. What we’ll do is we’ll be able to – we’ll have the capacity to burn a 100% Western coal next year. Based on the market prices today, we will schedule the coal fleet differently than we do today. So when we minimize some of the loads, we’ll be able to build – burn more Western coal, the output is less, but that’s what get us to the 100% Western coal. So we’ll take a little bit of a hit on D rate, but we’ll be able to burn more Western coal which will allow us to hit the targets and also hit the mission targets as well as save our customers some money.
Ted Heyn – Catapult Partners: Okay. So it’s that you’re not necessarily ramping down your actual coal generation and replacing it with gas; you’re essentially just replacing your central lab coal generation with – is that the way what you think.
John Russell: Think of it both ways, think of it both ways – ramping up and down the coal generation, burning more Western coal which reduces the output of the plants. Okay, so and the output of the plants being reduced will be replaced with the usage of some of our natural gas combined cycle units. So the latter part of that is the economic dispatch which again that meets emissions and in today’s world, it meets the economic test but on the other side of it, we’ll have the capability to burn western coal which will allow us to improve our emissions, meet the targets, reduce our cost, but also eliminate some of the output of our coal-fired plants.
Ted Heyn – Catapult Partners: Got you. And then just secondly, you talked about the potential spend on incremental other than your big four coal plants?
John Russell: Right.
Ted Heyn – Catapult Partners: Where would that spend – the big five coal plants...
John Russell: Yeah.
Ted Heyn – Catapult Partners: Where would that be – where would be you spending that to meet the high MACT rules?
John Russell: Yeah, the way to think about that is we have seven smaller coal plants that are pretty competitive in reasonable times they are dispatched on a regular basis. We’ve to make a decision do we upgrade those for all the new EPA regulations or do we mothball those or even close those. So that decision is out in front of us and we’ll be making that in the near future. And so the optionality is pretty good here. You could upgrade them – some or all of them or you could mothball or close them. And that’s a decision that we haven’t had to make because we don’t need to make it in the immediate future here, but we’ll be looking at a real carefully as we balance our plants. That’s an upside to spending of course that’s not in our $6.6 billion as well.
Ted Heyn – Catapult Partners: Got you. And then John just to clarify on the first question, I had.
John Russell: Yes.
Ted Heyn – Catapult Partners: I think you burn about 10 million tons of coal a year?
John Russell: You are correct.
Ted Heyn – Catapult Partners: Could you kind of give me a flavor of in ‘11 how much of that was cap versus PRB and how much you are expecting to burn in ‘12?
John Russell: 85% less turns was this year and so assume for numbers that’s a good basis for next year because we’re going to de-rate some of the plants, even though we’ve got the 100% capability so we’ll burn more western, say 10%, more western rough numbers and eastern will burn less.
Ted Heyn – Catapult Partners: Okay. So you’ll probably still be around that 10 million ton range or maybe a little bit last?
John Russell: Yeah, yeah actually the tonnage will probably be a little bit higher because we’ll burn more western coal which means more volume, so yes.
Ted Heyn – Catapult Partners: Okay. Got you, okay, thanks a lot.
John Russell: That helps you. Thanks
Operator: All right. Ladies and gentlemen that will conclude the question-and-answer portion of our event. I’d now like to turn things back over to Mr. John Russell for closing remarks.
John Russell: Thanks, Jeff, appreciate it. Let me wrap up today by thanking you all for joining us with another good quarter of operating, financial performance despite the severe storms that Tom and I talked about. The results for the first nine months are ahead of plan allowing us to accelerate reliability spending and improved value to our customers. We’re on track to achieve the guidance that we provided you with $1.44 share and we look forward to seeing all of you or many of you in person at the EEI meetings in the next couple of weeks. So thank you for joining us. I appreciate it.
Operator: Ladies and gentlemen that concludes today’s conference. We thank everyone for your participation and have a good rest of your day.